Operator: All participants, please stand by. Your conference is ready to begin. Ladies and gentlemen, thank you for standing by. Welcome to Teck's Third Quarter, 2008 Earnings Release conference call. At this time, all participants are in a listen only mode. Later we will conduct a question, answer session. This conference call is being recorded on Thursday, October 23, 2008. I would now like to turn the conference over to Greg Waller, Vice President Investor Relations and Strategic Analysis. Please go ahead.
Greg Waller: Thank you Melanie. Good morning everyone and thank you for joining us today Teck's Third Quarter Investor Conference Call. Before we start, I'd like to draw your attention to the forward looking information slides in our presentation package on pages two and three. This presentation contains forward looking information regarding our business. Teck does not assume the obligation to update any forward looking statement. At this point, I'd like to turn the call over to Donald Lindsay.
Donald Lindsay: Thank you Greg, and good morning to all. Do a brief overview of the general financial results and then I will turn the presentation over to two of my colleagues, Peter Kukielski, our Executive Vice President and Chief Operating Officer as well as Ron Millos, our Senior Vice President of Finance and CFO. And a number of other members of the management team are in the room, and are available to answer questions later on. Turning to slide five, earnings from continuing operations in the quarter were $433 million, or 0.97 per share, compared to $495 million, or a $1.16 per share in the same quarter last year. Strength in our coal business has mitigated the weakness we saw this quarter in our base metal businesses. And we expect that this will continue to be the story for coming quarters. Turning to slide six, this was a relatively clean quarter with minimal on usual items to adjust for the adjusted net earnings. Adjusted net earnings allowing for the non-recurring items shown here which are not part of our fundamental business were $409 million for the quarter. It’s a different story at the comparative net earnings line though, where we removed the impact of final pricing realizations in the quarter. With the sharply reduced copper price in the quarter, we incurred significant pricing adjustments. And with the pricing adjustments removed, our fundamental earnings were very similar to last year's results. Ron Millos will discuss this issue in more detail later in the call. Turning to slide seven and looking at prices for the quarter, on a Canadian dollar basis, the copper price was actually only two percent lower than last year. But what is not shown here is the change in price between quarter ends which is what drives the revenue we book for the quarter. The copper price decline from 398 at the end of Q2 to 291 per pound at the end of Q3, a decline of 25%. A decline in zinc and lead was also steep for the quarter, and in the 40% range for both. The realized coal price was 150% higher than last year's third quarter in Canadian dollar terms, and 163% higher in US dollar terms. Our realized coal price will continue to increase over the next two quarters as the affect of carryover tonnages are reduced. In slide eight, we show the changes in price from the end of Q2 to current prices. And although the copper price is down by more than 50% on a US dollar basis, the strength hitting of the US dollar over that period, mitigates the decline in the price in Canadian dollar terms. You can see it is, there is quite a difference in the affects. Turning to slide nine, the impact of the stronger coal price and weaker base (inaudible), prices can be seen in the relative contributions to our operating profit. Coal contributed 51% of operating profit this quarter, versus only 4% last year. Copper and zinc contributions declined to 29% and 19% respectively. I'd now like to turn it over to Peter Kukielski to discuss the operations.
Peter Kukielski: Thanks Don and good morning everybody. Turning to slide 11, sales volumes for the quarter were generally in line with volumes in the same quarter last year. The main difference represents the additional Relincho producing mines in Chile last year, which we acquired midway through the quarter last year. Zinc concentrate sales were slightly in the quarter than last year, but not as high as we had expected, and given guidance on in the second quarter. This was mainly a timing issue as some ships arrive later than anticipated and some consignment customers drew down on their stock piles slower than expected. We expect these deferred sales to be brought into revenue over the next couple of quarters. Coal sales were at 5% higher this quarter than last year, but as we indicated in the previous quarter's guidance, were lower than the second quarter due to planned summer maintenance shut downs. Slide 12, Highland Valley's copper production continued lower as we continue to mine more ore from the lower grade Lornex while we push back the valley Lornex in order to extend the mine life. Grades and recoveries are expected to gradually return to normal levels by the third quarter of 2009, with copper grades of approximately .33%. Highland Valley's revenue and operating profits were significantly impacted in the quarter by $82 million in negative pricing adjustments, versus $12 million in positive adjustments last year. Turning to slide 13, at Antamina, copper production was similar to last year, but zinc grades and the proportion of copper zinc ore were higher, resulting in higher zinc production. The mitigation measures that were undertaken to lessen the effects of the SAG mill problems that arose in the fourth quarter of 2007, including reducing the speed and voltage, have been successful with no major unplanned downtime during the quarter. Despite the reduced speed of the SAG mill, the mill throughout the third quarter was only 3% lower than the same period last year, and has also improved from the first and second quarters of this year. Antamina's revenue and operating profit were also significantly impacted in the quarter by $67 million in negative pricing adjustments, versus $6 million in positive adjustments last year. On slide 14, copper production at Quebrada Blanco was slightly above plan at 21,000 tons. Operating profit was $48 million after a deduction of $4 million to account for the ore purchase allocation. This purchase allocation continues to decline, and will be minimal from this time. We expect to complete the advanced scoping study on the hypogene resource in the first quarter of 2009, at which time we would make a decision whether to progress to prefeasibility study. On slide 15, Carmen de Andacollo's production was consistent at 5,000 tons of copper production. Andacollo's operating profit of $17 million was not impacted by adjustments related to the ore purchase allocation this quarter. World (inaudible) concentrate project continues to put progress, and the overall project is more than 60% complete, with start up expected in 2010. The estimated capital costs for the project of $410 million US dollars was based on a Chilean Paso, so we may be getting some help on that portion of capital costs. On slide 16, production of zinc metal at Trail was 2% lower than the third quarter of last year. Problems encountered in the leaching and purification circuits in the second quarter continued into the early part of the third quarter, but are now largely resolved. The 10-day lead refinery shut down was completed on July 17th as planned and production was 3% higher in the quarter than last year. The 20-day silver refinery shut down was completed on schedule in late July. Trails operating profit for the quarter was $37 million, down from the third quarter of last year, due primarily to lower zinc prices and lower zinc sales volume. Turning to slide 17, Red Dog production was 15% lower in the quarter due to unscheduled maintenance shut downs. Zinc sales for the quarter were lower than we had given guidance towards in our second quarter report as consignment customers drew less from consignment stocks than we expected, and due to some late ship arrivals that moved sales into the fourth quarter. Operating profit was down primarily due to 40% reduction in the zinc price, but Red Dog's revenue and operating profit were also reduced in the quarter by $19 million in negative pricing adjustments, versus $10 million in negative adjustments last year. On slide 18, Elk Valley Coal production decreased by 5% to $5.4 million times compared with the same period last year. Production at one of our six mines, the Elk Valley mine was disrupted during the third quarter by a mechanical failure of the raw coal conveyor system. Full production of clean coal is at Elk Valley is expected to resume by the end of October. Third quarter results also reflect lower production levels than the second quarter due to normal season allergy resulting from planned summer maintenance shut downs. Coal sales of 6 million tons in the third quarter were 5% higher than a year ago. And for the 2008 calendar year, Elk Valley coal sales volumes are expected to be in the range of 23 to 25 million tons. The unit cost of products sold increased to $61 per ton, compared with $42 per ton for the third quarter of 2007. In addition to higher input costs, unit costs for the third quarter were adversely impacted by lower production at the Elk Valley mine as mining operations continued in order to move overburdened and exposed raw coal. This activity should be reflected in lower unit costs in future periods, once production of clean coal resumes. The unit costs of product sold is now expected to be in the range of $49 to $51 per ton, for 2008. Unit transportation costs increased by $5 to $41 per ton, due primarily to the coal price participation provisions contained in port loading contracts with West shore terminals. Unit transportation costs are now expected to be in the range of $40 to $42 per ton for 2008, which is down from our previous guidance range of $42 to $44 per ton, as a result of a reduction in estimated ocean freight and vessel demurrage costs. Total costs of products sold and transportation costs for the year, are now expected to be in the range of $89 to $93 per ton, compared with our previous guidance range of $87 to $91 per ton. Operating profit increased by almost a factor of 10 over last year, due to the higher coal here prices starting to take effect. I should note that we are still selling some coal under contract carried over from the 2007 coal year, and accordingly the realized coal price for the fourth quarter will still be somewhat short of our coal year price guidance of $275 per ton. I'd now like to turn the call over to Ron Millos. I'm sorry, excuse me. I left out one slide, slide number 19. Looking at the gold operations on slide 19, Pogo's production increased primarily due to higher grades. Unit costs have decreased with the increase in production. At Hemlo, production was lower due to lower grade and all-through put. Cost saving initiatives implemented earlier in the year have reduced overall costs, but unit costs are higher, due to lower overall production. And now I would like to turn the call over to Ron.
Ron Millos: Okay, thank you Peter. I'm on to slide 21. As we identify each quarter, our pricing adjustments on concentrate sales can have a significant impact on our revenues. Outstanding receivables from any one quarter can be settled at different prices than they originally booked. And sales booked during the quarter can be re-paced at quarter end, forward curve prices, if those receivables are still outstanding. As the charts on this slide show, the copper price ended the quarter about $1 per pound lower than what it started the quarter, and 0.57 per pound lower than the average for the quarter. As a result, we incurred substantial negative adjustments on the copper receivables outstanding at the end of the second quarter, and again sales booked during the third quarter and still outstanding were revalued using the forward curve at the end of September. Both the lead and zinc price ended the quarter lower than the average price as well. And since quarter end, LME stocks have moved up to about 170,000 ton range for zinc and lead stocks have continued to move down to about 57,000 ton range. On to the next slide. Shows our final pricing revenues for the third quarter. And as I indicated, the final pricing adjustments for the quarter were quite substantial, and again, primarily due to the reduction of the copper price. At the end of September, we had 157,000 million pounds of copper receivable valued at $290 per pound. 296 million pounds of zinc receivable, valued at US 0.76 cents per pound. And 96 million pounds of lead receivable, valued at 0.83 per pound. The difference between these prices and the final settled price will impact our revenue and earnings in the fourth quarter. We estimate that if current spot prices for these metals remain unchanged for the balance of the fourth quarter, these pricing adjustments would be about negative $150 million after tax. And we do remember, you should analyze the impact of your price changes on our final pricing revenues. Refining and treatment charges of Canadian and US dollar exchange rate must be included in your calculation. In addition, if you're looking at net earnings, you need to consider taxes and royalties as well. Moving on to slide 23, we summarized our changes in cash for the quarter. Our cash flow from operations was $873 in the quarter, of which working capital changes provide $263 million, and that reflects the sale of inventories at the Red Dog that might have built up prior to the shipping season. Our long term debt payments of $69 million, and dividends of $221 million were paid in the quarter. And distributions to a minority interest holders, which was mainly the minority holders of the Quebrada Blanca and Andacolla operations were $31 million. Capital expenditures at our operating properties were $377 million in the quarter, $125 million of that was for sustaining capital and $252 million was on development projects. The bulk of the sustaining capital expenditures were for new equipment at our Elk Valley operations, at Antamina and at Red Dog. Our development projects were $40 million for the Highland Valley mine life extension and $65 million on the Andacollo concentrate project. In addition, we acquired the Relincho copper project in Chile for 6.9 million Class B share and a cash payment of $136 million. And investments of $145 million in the quarter, included $112 million for our share for the funding of the Fort Hills project and we account for that as an equity investment. Moving on to slide 24, during the quarter we put in place a currency hedge to cover approximately half of our 40 percent direct share of coal sales through April, 2009. And this being some protection to the revenue and cash flow we generate over the next year. At the end of September we had US $582 million outstanding at an exchange rate of $1.02 Canadian for each US dollar. And you should keep this in mind when projecting our Canadian coal revenues. In addition, assuming the Fording transaction closes, we will assume approximately $1.4 billion of US forward sales contracts at an average sale price of Canadian $1.02 for each US dollar. In addition, and based on price as an exchange rates prevailing at September 30, 2008, our current rate of production post-boarding acquisition, 1% weakening of strengthening of the Canadian dollar against the US dollar would increase or decrease our 2009 earnings by approximately $50 million after taking into account these various US forward sales contracts. On to the next slide, during the subsequent to the end of the quarter we put in some copper head just to cover a significant proportion of our copper production through to March, 2009. This also brings some protection to the revenue and cash flow we will generate over the next six months. With all of our various derivative contracts, and the fixed priced nature of our wholesales contracts, we believe we have price protection for approximately 73% of our total anticipated revenues for the sixth month period to the end of March. And this is based on anticipated production volumes and also assumes current commodity prices, customers meet the contractual commitments, and obviously the closing of the Fording transaction. And with that, I’ll now turn the call back to Donald Lindsay.
Donald Lindsay: Thank you Ron. I’d like to touch on two or three other developments within the company turning to the Andacollo project. And for that I’ll turn it over to Tim Watson
Tim Watson: Thank you, if we can move to slide 28, as Peter mentioned earlier, the overall project is approximately 60% complete. And for those people who’ve had the opportunity to visit the site earlier in the year, for this initial photograph and the others, you can see that there’s been substantial increases in the activity at the site. Just a couple of specifics on slide 28. In the middle of the background where the one tunnel’s coming out of the concrete bunker. That’s the location of the core store stock pile. And on the exit of the tunnel you can see that the pebble crushers are now in place. And as we move further to the right of the photograph, you can see the large foundation of structural steel work associated with the SAG and ball mill foundations. In the foreground on the left of the photo, you can see the 325 foot thickener is under construction. Moving to slide 28, you can see the overall progression of the actual concentrated facility itself and on, or towards the right of the facility, you can see the development activities associated with the floatation plant and on the far right hand side, the foundation work associated with the concentrate thickener and the concentrate storage facility. One of the things I would just like to highlight with this particular photograph, or mention associated with it, is the fact that this facility is an outdoor concentrator, so there will not be a tremendous amount of structural steal that needs to go up associated with the building structure itself. The last photo I’d like to touch on is slide 30, which shows a little bit more detail of the, or on the upper left hand corner. The steel that is in the process of being erected. That’s where the cycle packs for the two bonuses will be located. And the center of the photograph you can see that we have commenced installation of the flotation circuit. And in the foreground of that photo is the foundation work that’s presently under work to grind mills. Thank you.
Donald Lindsay: Thank you Tim. Turning to slide 31 in our Fort Hills project in Alberta. Work continues on the front end engineering and design stage of project development. In September, together with our (inaudible) Hills project, we announced the preliminary results from the FEED work, suggest that the estimated capital costs for the first phase of the mind and upgrader portions of the project, as currently conceived has increased in the range of 50% from the estimate of $1.8 million, including third party costs. That was announced by the partners in June 2007. The partners are reviewing the preliminary estimates and area assessing various options for development of the project, including the phasing of various aspects of the project with selected options to be reflected in the final FEED report. Once the FEED work is complete, Fort Hills will develop a definitive cost estimate for the selected development options. Which will be the basis for the final investment by the project partners. At this point, the partners contemplate making an investment decision in the near term, only with respect to the mining and extraction portion of the project and deferring any decision to construct the upgrader portion. Which would substantially reduce project costs prior to first oil. Turning to slide 32 and our acquisition of Fording’s assets. The transaction I proceeding on schedule. Having 100% interest in Elk Valley coal is expected to add substantially to our operating profits and cash flows both immediately, and in the longer term. I should note that all of the cash flow from the Fording share of the coal business has been accruing to our account since the end of June. We arranged for a US dollar $9.8 billion in debt financing in the quarter for the acquisition. And our ability to do this in spite of the turmoil in the credit markets reflects the quality of the credit from the bank’s point of view. For $1 billion US of the facility is a three year amortizing term loan, requiring 11 equal quarterly installments that don’t begin until April 2009. $5.8 billion US is a 364 day bridge loan. Our key objective is to reduce this debt as quickly as possible and we intend to pay down a substantial portion in the next year from our operating cash flow, a cash tax refund of about $1 billion, expected in the first half of ’09. From potential asset sales and from cash. We also intend to access longer term debt financing as market conditions permit. The effective date of the Fording transaction is expected to be October 30th, and we will begin fully consolidating the results from that date. However, upon acquisition, we are required to value production inventories at their fair market values, and these fair value adjustments will affect the operating profits, but not hurt cash flows, until those inventories are sold are currently expected to be approximately one month. Accordingly, our earnings in the fourth quarter are expected to include only one month of operating profit from the acquired assets. But two months of interest on the debt incurred to acquire the assets. The first quarter of 2009 will be the first full quarter of earnings from the acquisition of Elk Valley coal. So we’re carefully signaling that the fourth quarter will be somewhat unusual, and the first clean quarter is the first quarter of 2009. On slide 33, we expect to be able to pay down a substantial portion of the acquisition debt in the near term. This expectation is based primarily on our belief that Elk Valley’s projected revenues and cash flows through to March 2009 are dependable based on existing sales volumes and prices, and the combination of normal carry over of volumes in to the April, June quarter of 2009. And current price forecasts for the 2009 coal year. Before tax operating cash flow from our coal business, over a one year period, would be in the range of $3 billion if the average realized price were to be $200 US per ton. And it would be close to $6 if the average realized price were $300 US per ton. But we note that the settlements recently in the US were equivalent to about $376. This assumes that we produce and sell 25 million tons per year, total case costs of approximately $96 Canadian per ton. And that’s slightly higher than our current guidance and an exchange rate of $1.10 Canadian to $1 US, which obviously is a little different than the current market. And it does not take into account sustaining capital spending, which we do have some flexibility on. So this is what gives us the confidence in our ability to pay back the debt quickly. And with that, I’d like to open it up for questions.
Operator: Thank you. We will now take questions from the telephone lines. (Operator instructions) First question is from Hassain Hali of Salman Partners. Please go ahead.
Hassain Hali – Salman Partners: Morning Don how are you?
Donald Lindsay: Good thanks.
Hassain Hali – Salman Partners : Good, just a quick question, could you or a member of your team possibly address, just what you’re seeing out there right now in terms of zinc in China and copper in China as well?
Donald Lindsay: Andrew Stonkas, would you like to take that one?
Andrew Stonkas: Yes, it’s Andrew Stonkas. Zinc in China, we are, there’s two aspects to it. There’s the zinc metal production and demand side, and the Mesa Concentrate production. From what we understand the Mesa Concentration production in China is flattening out. So the demand for copper, for zinc concentrate imports into China is still robust. So from the concentrate side, it’s still a good demand for imports into China of zinc concentrates. On the zinc metal demand, there’s still, they’re importers of zinc metal, so their demand is still there. And anecdotal comments are reports are that it is softening, but we expect the we except the (inaudible) rates to be still in the 8% to 9% range. So we still feel that demand for zinc metal is still going to be growing. And that’s on the zinc side. On the copper side, again, significant demand for copper concentrates. Copper smelters are still expanding there. We also understand though that there is some softness in the production side from the smelters due to some weakening of demand. But again, there’s significant imports of copper concentrates. And on the metal side, demand is also softening. We saw today the Shanghai price suspend trading for tomorrow, due to the decline on the copper price. But on the copper metal side, it’s still again the global trades are 8% to 9% of expectations.
Hassain Hali – Salman Partners: Thank you. Maybe just a follow up question, just with regards to copper Don. Could you possibly just give me just your view on how this recent decline in the copper price affects some of your growth prospects on the copper side?
Donald Lindsay: Okay. We’re certainly well on the way to completing the Andacollo project and there’ll be no change on that one. On others that are further down the road, there’s really no significant capital to be committed until scoping studies or feasibility studies are complete. And so, we haven’t made any sort of final construction decision on those. And they wouldn’t come in the normal course until 2010 or 2011. So, there really shouldn’t be much affect at this point. If the decline carries on for that length of time, of course it could well affect those projects.
Hassain Hali – Salman Partners: Thank you very much.
Operator: Thank you. The following question is from Greg Burns of TD Newcrest. Please go ahead.
Greg Burns - TD Newcrest: Yes, thank you. Don just looking out at 2009, clearly your capital expenditures are going to be a real focus point and something you’ve got to address in terms of paying down debt in lower metal price environment. Can you give us some kind of range or breakdown on what you’re thinking on that front?
Donald Lindsay: Okay – that will be a two part answer to that question. The first is, we’ll have to wait for the final determination on Fort Hills. And as I think you’ve seen from our disclosure and also from our partners UTF and their disclosure, that we anticipate that that will be less than probably most currently have in their models. But that’s a very important swing factor. Secondly, I’ve asked Peter Kukielski and all of the heads of our SBUs to look very carefully at our sustaining capital expenditures. And as you know, many of those can be deferred. And that’s likely what we will be doing. You know, almost any truck can run for another six months or a year if it needs to. And so those kind of actions will be taken.
Greg Burns - TD Newcrest: The sustaining capital this year was $400 to $500 million
Donald Lindsay: That’s correct.
Greg Burns - TD Newcrest: How far down, or how low can you draw that number?
Donald Lindsay: Well I think you have to look at the combined number, because with Fording rolled in, it would be closer to 600.
Greg Burns - TD Newcrest: Okay.
Donald Lindsay: And we don’t know the answer to the question yet, because that works being done literally as we speak. But, you know, we should be able to save several hundred of it.
Greg Burns - TD Newcrest: Okay. And the big capital project that you’re committed to right now, Export Hills, and acquire (inaudible)?
Donald Lindsay: Yes.
Greg Burns – TD Newcrest: A couple hundred million. Beyond that...
Donald Lindsay: There’s a small amount finishing the work at Highland Valley. But beyond that, decisions for major spending, the highest probably would be QB, but that, you know, we’re still drilling and the pre-scoping study isn’t finished until I think March and then you go through feasibility. So there’s still quite some time before you make any decisions on major capital there.
Greg Burns – TD Newcrest: Okay. So I’m at $300 million for (inaudible), for argument sake, $200 million at Andacollo, some left at Highland Valley, so add another $100 million, I’m now at $600 million. And then the question is what hills? Is that a fair assessment?
Donald Lindsay: That sounds about right.
Greg Burns – TD Newcrest: And so, just one question on that front. In press release, you said the Camp X was $18.8 billion under the previous numbers. I thought it was $15.2, including FEED?
Donald Lindsay: The difference is the third party costs. It means pipelines and the roll that (inaudible) would play and they finance. But recover from you know the operating costs from us.
Greg Burns – TD Newcrest: The 50% upside and 18.8 gives you $28 billion of which how much of that is the upgrader?
Donald Lindsay: I should be consistent with the disclosure from the partnership. And the partnership just disclosed that the increases were approximately 50% and didn’t go through the details of each of that, because the work wasn’t finished, and they didn’t feel competent in disclosing those numbers. The main thing that we’re trying to show is that there has been no decision actually there’s been no decision on either (inaudible) and Wining or the upgrader. And as we look at it today, the economics of building upgrader are clearly in question. And we are examining all options on phasing. And we expect that the upgrader will like be deferred.
Greg Burns – TD Newcrest: Okay, excellent.
Operator: Thank you. The following question is from Orsett Walfadel of Cannaccord, please go ahead.
Orsett Walfadel – Cannaccord: Hi, good morning. Two questions. Can you actually give us the amount of copper pounds that you hedge under the new program? And the second question, can we assume, given what’s happened in the market, both with the copper price and the credit markets here, that you’re unlikely to participate in the (inaudible) project?
Donald Lindsay: On the first one, just going from memory it was 166 million pounds at average of 243. Is that correct Ron?
Ron Millos: Yes, that’s correct.
Donald Lindsay: And then on the second one, I don’t think we should make any assumptions there. There’s been no decision on (inaudible) at this point.
Orsett Walfadel - Cannaccord: Okay, thanks very much.
Operator: Thank you. The following question is from John Tumazos of John Tumazos Very Independent Research. Please go ahead.
John Tumazos – John Tumazos Very Independent Research: Congratulations on surviving so well in tough times. Could you give us a flavor of your priorities? You mentioned deferring capital spending in the event that commodity prices stay down for a while. As to exploration outlays, common dividends, share repurchases, which things fall by the wayside in addition to the potentially postponing the upgrader at Fort Hills and some other capital spending.
Donald Lindsay: Okay, well the absolute number one priority is reducing the debt. Particularly the bridge debt. And so all cash flows available will be devoted to that, and they’re quite substantial for the six month period where we have price protection related to either coal contracts, copper hedges, zinc hedges and so on. In terms of the other specifics I think you were asking. We do want to get resolution on Fort Hills so that we know what capital is required there. And we’re in active discussions with the partners on that subject. On the CapX, I think I’ve answered most of the variations on that question so far. But basically we’ll know within a short period of time, the next couple of weeks, how much we can reduce sustaining capital. And the other major projects, don’t come into play for some time. We are going to look at exploration budgets, both oil sands related and general base metals and gold projects. We haven’t come to determination on how much that will be cut back. But they will be cut back. They aren’t that material, relative to the debt reduction required. But I think it’s important that all parts of the company contribute. And that’s the signal we’re sending to all operations. There are various cost cutting initiatives under way as well. In terms of the dividend that’s something that the board will have to consider at the appropriate time. But at this stage, there’s no change contemplated.
John Tumazos – John Tumazos Very Independent Research: Are share repurchases off the table?
Donald Lindsay: Yes they are until the debt is substantially reduced.
John Tumazos – John Tumazos Very Independent Research: Okay.
Operator: Thank you. The following question is from Kerry Smith of Haywood Security. Please go ahead.
Kerry Smith – Haywood Security: Thanks operator. Don, just on the copper hedge, this 666 million pounds, could we just assume that that’s sort of equally split month by month on a go forward basis? And is it always 243 a pound. You say it’s an average of 243, I’m just wondering if there’s any sort of a price deck in there.
Donald Lindsay: There is a price deck, but I’ll turn that over to Ron to answer in more detail.
Ron Millos: Yes, it’s, there’s a little bit of a swing on a quarter to quarter. I’d say it’s probably about you know, 52% Q4, 48% Q1, and there is a range on a monthly basis, there’s a bit of a variation. So they range from I guess a high of around the 250 area and go down to a low and sort of low 220 area. I don’t have the nitty gritty detail on all the specifics with me here.
Kerry Smith – Haywood Security: Would you have kind of a rough idea as to, let’s say the 52% of the hedge that would be delivered in Q4, what kind of average price that might be? Is that going to be lower than 243?
Ron Millos: I’d say the first quarters a bit on the higher side and the second, a bit on the lower side. But again I’d need to confirm, but like I said, I don’t have the detail with me right now.
Kerry Smith – Haywood Security: Okay. So just so I’m clear, Q1 next year would be slightly price?
Ron Millos: Yes.
Kerry Smith – Haywood Security: Okay. And just on, sorry lower end...?
Greg Waller: Kerry it’s Greg. I think Ron said lower in Q1 and a little bit higher in Q4.
Ron Millos: I’m just looking them up now, I’ll come back to that.
Greg Waller: We’ll come back to you.
Kerry Smith – Haywood Security: Okay, great. And on the FX hedges that you have in place that you currently have in the foreign, the currency hedge you’ll inherit from the Fording deal, can those hedges be rolled over, or is the intention to deliver into those as they mature?
Greg Waller: I think the attention would be to deliver when they mature.
Kerry Smith – Haywood Security: Okay. And has, have you had any preliminary discussions with your customers on the coal contract negotiations for the next contract year?
Donald Lindsay: We have Boyd Paine, so Boyd over to you.
Boyd Paine: Yes, thanks Don. I’ve just come back from a coal conference in Europe. And although we didn’t have any contract discussions, I met a number of contracts, customers rather. And I don’t actually expect the contract discussions to start until probably November, December timing.
Kerry Smith – Haywood Security: And Boyd, I mean everybody, it sounds like all the old manufacturers are cutting back, sort of 10% to 20% in their production. And that’s a big driver for the net coal. I mean what would your expectation be?
Boyd Paine: You know what, I think we’re, what we’re going to see this year is more segmentation by quality in the market. Because I think the lesser qualities will come under some pressure. But the discussions I’ve had this last week about the ability for high quality high coal producers to produce, has been one of the issues. I mean we’re operating globally at maximum on high quality side. So there’s still difficulty there keeping enough product in the market. The other materials, I think there’s plenty of. And they’ll see some pressure. In terms of the steel plant reductions, I talked to a number of people. A lot of the major, big reductions are coming in places like Ukraine and Dagestan, etc. And then as you suggest, I think in Western Europe you’re looking more at the ten percent range. So we’ll see some impact from that, but we’ll just have to see how it plays out over the next six months really.
Kerry Smith – Haywood Security: And just, can you just remind me, how much of your 23 to 25 million tons would be considered to be this high quality “coal” that maybe we might not see as much of a price, price pressure as maybe you would with some of the other products?
Boyd Paine: About 90%.
Kerry Smith – Haywood Security: Okay. Okay. And just one last question if I could Don, on Fort Hills. If you were to, or is it an option to defer the mining as well? Or is there any sort of permitting issue or licensing issue that would prevent you from doing that?
Donald Lindsay: Well the current arrangement with the Alberta government is to have the (inaudible) mine up and running by December of 2011. And so we are fully focused on doing that.
Kerry Smith – Haywood Security: Okay. And is there any, in that licensing agreement, is there a minimum production rate or like how is it sort of structured? Like how much flexibility do you have? Could you start up some smaller operation? Or does it have to be a particular size?
Donald Lindsay: I think it’s 100,000 barrels a day of (inaudible). But a lot of these things are being examined and reviewed. And I’m sure they’ll be discussed with the government going forward.
Kerry Smith – Haywood Security: Okay, and what happens if you don’t get it up and running by December of 2011 then?
Donald Lindsay: I think that’s something we just have to review at the time.
Kerry Smith – Haywood Security: Okay. Okay. Thanks very much.
Donald Lindsay: I might just make a couple comments on two of your earlier questions. One is on the currency hedge, just to, for the benefit of those who might not have the background. But Fording, having been an (inaudible) trust with unit holders that were, you know, dependent on the distribution, had a policy of once the coal contract pricing had been established, they would hedge the Canadian dollar and then that provided stable distributions. We, earlier this year, adopted the same policy for the coal part of our businesses. We were making the increased investment in it. And that’s sort of the background as to why we had the Canadian dollar hedges. And it’s something that we will review once we know the new coal contract pricing for the 2009 year. And then the second, I think your question was on the timing of the various copper hedges were good ones. And they only concern I have is that the people trying to figure out the fourth quarter, I’d highlight again that it’s going to be relatively confusing because you have only two months of the Fording part of the business in there. You have one month of inventory having to be sold without any profits being booked. But you do have the cash flows and then you have the settlement price adjustments on top of that. So we’re relooking at the first quarter in 2009 as the first representative quarter of the on-going business.
Kerry Smith – Haywood Security: Okay, and maybe just one last question. Have you seen much impact so far on the cost side from the decline in the oil price from, you know, 150 barrel to 70 a barrel? Has that, have you started to see that reduction come through on the cost side? Or will it take a little while?
Donald Lindsay: There’ll be a mixed answer and I’ll turn it over to Peter in a second. But, we’re certainly looking forward to it. And then, also, for those comparing our operations versus US dollar commodity price, obviously with the Canadian dollar having dropped from roughly par to roughly .80, that’s relative to the price commodity we’re receiving, that’s a 20% cut in operating costs at Highland Valley say, or Trail and ultimately once the hedges are out at Elk Valley as well. But Peter over to you on that question.
Peter Kukielski: Sure Don. Yeah, I mean typically when we haven’t seen any impact of declining oil price in our diesel costs yet. And then it typically would be quite a substantial lag on that. But we do have an expert on the way to examine in how we can capitalize on that.
Kerry Smith – Haywood Security: And when you say, there’s a lag time, is it a quarter, or is it, is it a month?
Peter Kukielski: It’s often as much as two quarters.
Kerry Smith – Haywood Security: Okay.
Donald Lindsay: And then you need to remember that Red Dog, because of the seasonality it’s already been purchased for this one.
Kerry Smith – Haywood Security: Right, right, you’ve already bought that, yes. And this December 2011 start up of the 100,000 barrel a day mine, is there a requirement with the government that you have to have the upgrader up and running by some particular point in time in the future? Or is that sort of open ended?
Donald Lindsay: There’s no requirement that I’m aware of.
Kerry Smith – Haywood Security: Okay. Okay, thanks Don.
Peter Kukielski: I’ll just follow up with a final line on the hedging, copper hedging question. There’s about 80 million pounds in the first quarter. And probably about 240, 241 and 86 million in the first quarter of 2009. And that would be at about 245 per pound average. So the net of the two will work out to about the 243 that Don referred to earlier.
Kerry Smith – Haywood Security: Okay, thanks.
Operator: Thank you. The following question is from Jordi Dominguez of HSBC. Please go ahead.
Jordi Dominguez – HSBC: Hi guys, thanks for fielding the questions. A couple questions. First of all, regarding copper production costs, what, could you guys give us some guidance on unit costs, the mine, C1 or C3, whatever you guys feel comfortable with?
Donald Lindsay: Peter, Ron?
Peter Kukielski: Don, I can speak for that. If you look at the capital operations, it’s pretty easy to calculate the cash costs. I think that, Andacollo in the quarter came in at about $1.10 and Quebrada Blanca came in at about $1.45.
Jordi Dominguez – HSBC: Okay, that’s more or less in line with what I had calculated. And the other question is, what, could you please refresh my memory. What copper price did you guys use to calculate your reserves?
Ron Millos: We use, this is Ron again, we use a number of about 50.
Jordi Dominguez – HSBC: Okay. US or Canadian?
Ron Millos: US.
Jordi Dominguez – HSBC: Okay. That’s all my questions, thank you very much.
Operator: Thank you. The following question is from David Ventura of Citigroup. Please go ahead.
David Ventura – Citigroup: Hi Don. Congratulations on the Fording transaction. One question related to that. You mentioned in the conversation about Fording that the cash at Fording is accruing to (inaudible) since June. Can you give any quantification of how much cash has accrued at Fording?
Donald Lindsay: Ron I’d have to turn that over to you. The background to that is we structured the transaction so that the distributions would cease once we announced the deal on July 29th. Ron, do we have a number that we’re disclosing on that?
Ron Millos: We haven’t got a number that we’re disclosing, but I think it would be in the amount of $500 to $600,000 Canadian range.
David Ventura - Citigroup: Great, thank you very much.
Operator: Thank you. The following question is from Laurence Smith of Scotia Capital. Please go ahead.
Laurence Smith – Scotia Capital: Good morning. Back on capital expenditures for 2009. I know it’s a tough question, but if the partners proceed with Fort Hills, you know, without the upgrader in there, you know, ball park what would your expectation be for your share of CapX in 2009 for Fort Hills? And then, unrelated question, in the bank financing that you obtain for Fording, is there any financial covenants contained in those agreements? Thank you very much.
Donald Lindsay: On the first question, I think that we really have to wait to see what the final determination is of the development model. Because even though you could come up with a total on what the benchman mining would cost, there is a train one and train two in the sequence of it and the timing of when certain infrastructure associated with it is constructed. All of that is still uncertain at this point, as we look at different phasing options. And so I don’t think any number we give you right now would be that accurate. I can say that the partners are working very intensely on the subject and hope to make a further disclosure, you know, in the relatively near term. But it’s still weeks, not days. And at that time, we’d be able to give a clear picture.
Laurence Smith – Scotia Capital: Okay. Covenants in the bank financing?
Donald Lindsay: Ron?
Ron Millos: We have a 60% debt to equity ratio that we have to meet, that’s the only substantial covenant.
Laurence Smith – Scotia Capital: 60% debt to total cap effectively, or?
Ron Millos: Debt plus equity.
Laurence Smith – Scotia Capital: Yes, great. And no coverage, no EBIDA coverage ratios or anything like that?
Ron Millos: No and that debt equity ratio drops down to 50% in September of 2009.
Laurence Smith – Scotia Capital: When the deal was originally announced, I think you were talking about a debt pay down, order of magnitude, $4.6 billion over the first 14 months. Still think that’s possible? And a related question, what type of coal price environment was that predicated on?
Donald Lindsay: What I would say is we have a pretty fair to be (inaudible) for the first six or seven months, because of the price protection that we put in. In order to fully answer your question, you’d have to make some price assumptions on what, not just coal price, but copper, zinc, and gold towards the end of the year. And I think given this environment, it’s pretty hard to do that.
Laurence Smith – Scotia Capital: Okay. Thank you very much.
Ron Millos: Don, it’s Ron. I just want to make a comment on the cash number that we talked about on the question earlier at Elk Valley, sorry, Fording. And I just want to remind people that of that total $3 US per unit gets distributed as part of that plan arrangement as well. So just make sure people are aware of that.
Operator: Thank you. The following question is from Daniel McConvey of Rossport Investments. Please go ahead.
Daniel McConvey – Rossport Investments: Hi good morning. I don’t want to (inaudible) Fort Hills of debt, but just a couple of things. The $145 million investment, you’re not building it. What was that for?
Donald Lindsay: Peter and Tim?
Peter Kukielski: I’m sorry I didn’t understand the question.
Daniel McConvey – Rossport Investments: The $145 million investment that was made this quarter for Fort Hills what did that pertain to?
Tim Watson: There are two main activities underway right now. The first of which is the FEED program which was estimated at a total cost of $1.1 billion. The other piece of that was an early works program for the fiscal year, was in the range of about a further $8 or $9 million dollars. So the total capital expenditure for fiscal year 2008 was in the order of around $1.6 to $1.7 billion. A portion of which is the engineering piece, a portion of which is the early works associated with infrastructure development at the mind site.
Daniel McConvey – Rossport Investments: Okay. Have there been in, just in terms of I guess the first question would be, how, what is the minimum amount of time the project has been delayed so far? As a result of this review.
Tim Watson: At this point in time, the project has not suffered any delay associated with the mining facilities in the north.
Daniel McConvey – Rossport Investments: Okay. And have any commitments been made in terms of mining fleets or anything that have locked in deposits, etc.?
Peter Kukielski: Mining equipment and (inaudible) and that sort of thing.
Tim Watson: Yes, we’re just in the process of awarding some of the mining fleet in terms of the large hull trucks.
Daniel McConvey – Rossport Investments: Okay, now as a result of this process and this review, was some of that possibly held off as a result?
Tim Watson: No it has not been.
Daniel McConvey – Rossport Investments: Okay. Okay. And just a dumb question. If you do the mining and don’t build the upgrader, the processing will be done where?
Peter Kukielski: The final benchmark product would be sold into the market.
Daniel McConvey – Rossport Investments: Okay there is enough upgrading capacity in the area that could take that?
Peter Kukielski: That’s still in the process of being developed in conjunction with our partners.
Daniel McConvey – Rossport Investments: Okay. Thank you very much.
Tim Watson: If I could just clarify one additional point. Maybe give you a bit more detail in terms of the activities in the north. We do have substantive earth works, completely associated with the river intact structure, which is a significant piece of work down by the (inaudible) river. As well as the footprint of the process facility itself, is roughly an area of one kilometer, 1.3 kilometers. Most of the bulk earth works associated with that has been completed, and we’re in the process of piling in some of the process areas so that we can begin concrete work and vessel erection in the not too distant future.
Daniel McConvey – Rossport Investments: Thank you.
Ron Millos: I might just add a comment on the market provision and in addition to a capacity that would be available and in Alberta. The market for heavy crude in the gulf coast and the US has changed a fair bit over the last three years. And there’s two factors. One is the volumes being delivered for both Venezuela and Mexico have come down quite a bit. So that refineries in Louisiana and so on are short. And then pipeline projects that were announced since we first made our investment in Fort Hills are now under construction and by the time that the Fort Hills benchman mine was built, and they would be available. So the nature of the market is changing quite a bit. Which means that the economics of benchman mining are much more favorable than they would have been three years ago.
Daniel McConvey – Rossport Investments: Thanks Ron.
Operator: Thank you. The following question is from Harry Martin of Barclays Capital. Please go ahead.
Stephanie Levinson – Barclays Capital: Hi, this is Stephanie Levinson for Harry Martin. I had a quick question about the timing of possibly financing the debt for the Fording coal in the long term market. Do you have any update on timing?
Donald Lindsay: Well we don’t see the market as being actually open at the moment. And I think we just have to monitor market conditions and see when the opportunities are. We could do something at any time. But at the moment, I think with all the volatility that we’ve seen that’s caused corporate spreads to widen that dramatically and you know the actual cost of our bridge is substantially lower than term debt would be. So, I think it’s probably best of us to wait a while.
Stephanie Levinson – Barclays Capital: And is there any extension option on the loan?
Donald Lindsay: On the bridge?
Stephanie Levinson – Barclays Capital: Yes, on the bridge.
Donald Lindsay: It’s a 364 day bridge, and we expect that it would be repaid by then.
Stephanie Levinson – Barclays Capital: Okay, thank you.
Operator: Thank you. The following question is from Maharth Cooper of Credits List. Please go ahead.
Maharth Cooper – Credits List: Hi guys. Have you disclosed the name of the bank that, the Canadian bank that bought the Euro 20% stake in Fording?
Dan Lindsay: It was Bank of Nova Scotia.
Maharth Cooper – Credits List: Okay. And I guess just kind of like a general question, but how did you guys to stay the same price that you agreed to, you know, I guess in July given the drop and given the fact that your own stocks have been down like 57%? So, I mean how is it they agree to pay the same price, given what we’re seeing out in the market today?
Donald Lindsay: Well they didn’t actually pay the exact same price. It was discount of $2.38 to the price.
Maharth Cooper – Credits List: Yes, but I mean, is pretty much, it’s not a 50% discount or anything of that sort, so, you know, is there any reason why they paid substantially the same price, or...?
Donald Lindsay: Well I might have Peter (inaudible) comment. But I’ll just say this that it was a competitive process. There were several large (inaudible) parties. And each was determining their own set of numbers and what kind of rate of return they would require. And in the end we did the best deal possible for tax share holders and we were pretty pleased. Peter did you want to add anything?
Peter Kukielski: No, I think that’s pretty clear. It’s a $2.38 discount to the implied value of the bid and if you annualize that it’s reasonable return for the bank.
Donald Lindsay: It was at the time quite a large block moved at a price that was about $10 higher than the market price. So I guess that was unusual.
Maharth Cooper – Credits List: And was that agreement, I guess close to the date of your announcement? Because you put out a press release on it on the 13th. Or was it just that was struck much earlier and they had the...?
Donald Lindsay: No it was the day of the announcement.
Maharth Cooper – Credits List: And I guess just in terms of you know, along the lines of that question about the covenants. Is there any reason why I guess the lenders who are providing you the committed term loan and the bridge. I mean can, is there some situation where, let’s say the next week or so, you know, take a look at your, for instance your market cap today is $5 billion and you’re taking on debt of about $10 billion. Is there any kind of solvency kind of ratio? Anything that would cause the banks to perhaps you know be difficult about actually putting forward the funding the cash for the transaction?
Ron Millos: Not that we’re aware of.
Maharth Cooper – Credits List: So you guys expect to close by next Thursday?
Donald Lindsay: Yes we do.
Maharth Cooper – Credits List: Thanks a lot.
Donald Lindsay: I note that the world has changed quite dramatically. Not just since July 29th when we announced the deal. And at that time, interestingly, our stock was up about 20% and people felt the deal was too much in favor of Teck and questioned whether the owners would actually vote for it. Since that time there’s been, you know extraordinary deterioration in market conditions. And then even since September 30th, when deal confirmation notice was given, the last three weeks have been even more volatile. So the current market cap to debt that you highlight certainly wouldn’t have been expected even three weeks ago.
Maharth Cooper – Credits List: I guess in terms of you guys and the board, have you ever contemplated renegotiating the price to reflect the conditions that were seeing out today? I mean when you announced this deal that stocks at $40 roughly, and today it’s around $10 or $11, did that, was that an option, or you guys don’t...?
Donald Lindsay: That was not an option. We had a signed deal. And we had fiduciary obligation to ensure that we got the financing and that’s what we’ve done.
Maharth Cooper – Credits List: How many banks are in this syndicate that’s providing the bridge and the terms, etc.?
Donald Lindsay: 25 banks confirmed with us on September 30th.
Maharth Cooper – Credits List: For the term loan and the bridge?
Donald Lindsay: Ron, can you answer that?
Ron Millos: There’s about a dozen in the bridge and then 25 in the term.
Maharth Cooper – Credits List: And then the bridge, the $6 million is split evenly between the dozen on the bridge loan to actually funding?
Ron Millos: No. No there’s, the top tier has a larger percentage.
Maharth Cooper – Credits List: What were some of the banks? Bank of Tokyo?
Ron Millos: All of the details are laid out in the credit agreement documents that are filed on (inaudible) and Edgar.
Maharth Cooper – Credits List: Fair enough. Okay. Thanks a lot guys.
Operator: Thank you. The following question is from John Hughes of Desjardins Securities. Please go ahead.
John Hughes – Desjardins Securities: Thanks operator. Most have been answered. Just a last one in terms of the term and the bridge loan, and the cost. Can you just sort of highlight what the cost is on the term and the bridge? If I recall it was, I think six month LIBOR plus 150. And how would that compare with (inaudible) if you tried to do your own debt? I mean what would be the cost differential between you know your corporate debt and the term and the bridge loan?
Ron Millos: The (inaudible) on both the term and the bridge loan are LIBOR plus what, plus three month LIBOR plus one and a half. As far as what the Euro debt market is today I couldn’t really tell you. And I think it’s probably fair to say that this deal going to the financing market today would be very different than it was at the time it was put in place.
John Hughes – Desjardins Securities: And sorry one last one for Boyd. Boyd just in terms of the length, or (inaudible) on the (inaudible) negotiations for the upcoming contract year. Would you expect, with the market conditions for the way they are for this to be a long drawn out event. Or would you expect maybe a shorter event?
Boyd Paine: You know what, that one’s quite interesting and a bit difficult to call right now. The US suppliers and customers just recently settled, and I mean in the last couple of weeks had very sharp numbers. And I think that surprised everyone. The sentiment this last week in Europe of course was that different. I’m guessing here but I would guess that if I was a buyer I wouldn’t be in a hurry. So it may take a while.
John Hughes – Desjardins Securities: One thing that we had seen this year that we hadn’t seen before, certainly with any materiality was US coal going through west shore. Certainly evidence that, you know on the seaborne market it was well sought after. And I’m just, you know, it sort of leads into you know where we’ve come over the last several months, and really over the last five to six weeks on price discussion and I mean everything’s come down from iron ore back to at or below on the spot basis on the contract levels. And I’ve just, you know, relative to $2.75 US net ton, that seems like an awfully offbeat kind of contract to roll over for the upcoming year. And I mean is it most reasonable, at least from an analyst’s perspective to be looking at something materially below that number for the upcoming year?
Boyd Paine: We haven’t offered any guidance. Nor would we on that. You know I think, I’m a little surprised to hear you say Metcoal’s gone through west shore. I know there’s been thermal go through west shore. I’m not aware of any Metcoal that’s gone through west short. But certainly there’s been a big increase in the amount of coal back into the market from the US suppliers. But when you take a look at that, a lot of it is not your top tier high quality material. It’s basically gone in to fill a gap, the inventory gap left by the flooding earlier in the year from Australia. So on a go forward basis, you really question what will come. And then most of my comments are always driven around the high quality on the market, because that’s the most interesting place to live. And so I would suggest that year on year, US high qualities going to be challenged as well. So basically as, I spoke at the coal (inaudible) conference, my concluding remarks were that at the appropriate time we would sit with our customers and have discussions about, as we always do, the supply and demand balance for different types of coal. The go forward supplability of it and the need, in this case, for more high quality hard coal to come into the market. And over time, the need for there to be bigger developments. But those discussions won’t start until the customers are ready. I think that’ll be November, December time.
John Hughes – Desjardins Securities: Okay, thanks Boyd. That’s it for me.
Operator: Thank you. The following question is from Brian McArthur of UBS. Please go ahead.
Brian McArthur - UBS: Good morning. I’d like to go back to Fort Hills and the spending. If I remember correctly, you had to cover or carry UTS for the first 15% to a certain amount which I assume enough capital’s been spent that you’ve earned that 15%. But then you also had to pay a net, certain amount to get up to 20% last year. Can you tell me where we spent enough capital already that you would hit that 15% and 20% level? And if not, you know, when you expect that to actually occur? So actually you’re in your 15% or 20% interest.
Ron Millos: (Inaudible) that the formula is we pay 34% of the first $2.5 billion.
Brian McArthur – UBS: Right.
Ron Millos: 27.5% of the next $5 billion.
Brian McArthur – UBS: Right.
Ron Millos: And then 20% thereafter.
Brian McArthur – UBS: Right. But you’ve spent a certain amount of money...
Ron Millos: And we’ve spent about $500 million to date on that project.
Brian McArthur – UBS: Right. So you haven’t even really earned, spent the amount to get the, under that first deal. Or the whole two deals really link back together when you went up to 20 from 15?
Ron Millos: That’s correct.
Brian McArthur – UBS: Okay, thanks very much.
Operator: Thank you. The following question is from Greg Burns of TD Newcrest. Please go ahead.
Greg Burns – TD Newcrest: Yes, thank you. Ron I just want to explore the tax energies again. The billion that you’re going to get back from the Canadian government in the first half of 2009, that is recapture of taxes paid in prior years, correct?
Ron Millos: That’s from 2005, plus what we, all the way through to what we had been paying in 2008.
Greg Burns – TD Newcrest: 2008.
Ron Millos: So we have to file our 2008 tax return as quickly as possible, and then that will drive the, the timing of the refund.
Greg Burns – TD Newcrest: So the next part of the question is, what’s going to happen for the 2009 year in terms of tax savings I guess is the best way to put it?
Ron Millos: Yeah, basically there’ll be enough shelter that you know our Canadian source income will probably be fully sheltered and we will not be required to make any installment payments in 2009.
Greg Burns – TD Newcrest: Any guess on what number that will be? And I know it depends on metal prices, but...?
Ron Millos: Yeah, well you know our current installment payments are in the order of $30 to $40 million per month. But you know, at lower prices that would go down. And I should just point out that we, you know, we do have to pay our mineral taxes. So this is more a Canadian income tax issue here.
Greg Burns – TD Newcrest: And the $30 to $40 million a month is income tax? Or does that include the royalties?
Ron Millos: That would be the income taxes.
Greg Burns – TD Newcrest: So arguably another $360 to $450 million in tax savings next year?
Ron Millos: It’s depending on what your view of our profits are.
Greg Burns – TD Newcrest: Okay. Okay, that’s very helpful. Thank you.
Operator: Thank you. The following question is from Oscar Cabrera of Goldman Sachs. Please go ahead.
Oscar Cabrera – Goldman Sachs: Good morning gentlemen. It’s actually afternoon already. Thank you for taking the time to all these questions. Just you know, with the fall in commodity prices, I wanted to get a sense of your consumables. How much diesel do you consume in your operations? What do you think would be the main impact or savings that you’ll see there? And with regards to your Chilean copper operations, have you see a drop in asset prices? Can you comment on that? And what do you think the impact to cash calls would be? Thanks.
Peter Kukielski: Well the first part of the question is on consumables and we obviously haven’t, as I referred to earlier on, we haven’t seen the trickle through yet of dropping commodity prices in our consumables. Because there typically is a lag of several months. But we do anticipate to see that we can’t quantify that yet. On the specific questions related to the Chilean operations, I’ll let Roger Higgins, our Senior Vice President of Copper take that question.
Roger Higgins: Yes, thank you. In relation to asset prices, the discussions had been about increasingly increasing asset prices. Those discussions are currently still going on for next year. But the tone of them has changed. And we are expecting at least straggle and perhaps some improvement in that process going forward. But those discussions are still underway.
Oscar Cabrera – Goldman Sachs: Okay and you know I can appreciate the fact that you cannot comment on what the impact would be to the actual costs, but can you give us an idea of how much diesel you consume?
Roger Higgins: I don’t have that number off hand Oscar, but we could try and, you know, we’re in the process of examining our entire diesel strategy for the company, it will be a number that’s available later on.
Oscar Cabrera – Goldman Sachs: Great, thanks.
Operator: Thank you. Once again, please press star one at this time if you have a question. The following question is from Brian McArthur of UBS. Please go ahead.
Brian McArthur – UBS: Top of the morning again. Sorry just to be really sure I understand what Greg was asking here. That billion dollars in tax recapture would include all of 2008 and therefore, it includes the, because originally there was a number of sort of $800 million. And the difference I assume is the extra two months that you’re getting Fording in at the higher prices, waiting through the average realized price. So that, when we start at the end of the year for to look at tax savings going forward. We have, let’s call it, three months at the fixed (inaudible) coal price that we know about, subject to carry over times. And then you take whatever (inaudible) coal price going forward and start sheltering things going forward. That is it say, it covers everything right through to the end of 2008 factored in there. Is that correct?
Ron Millos: Yes, but when we stop making installment payments in 2008. But it, but basically we, you know, we’re going to recover the previous, all previous taxes that we’ve paid from 2005 forward. Canadian source income taxes.
Brian McArthur – UBS: Right but that’s factoring it through to the end of 2008, with some assumptions of what’s going to happen to copper and everything else in that time period. And at a certain amount of ton at the door.
Ron Millos: That’s correct.
Brian McArthur – UBS: Okay, great. Thank you very much.
Operator: Thank you. The following question is from Gordon Winter of Howson & Tattersall. Please go ahead.
Gordon Winter – House and Tattersall: Hello. Can you just talk a bit about the range of options, as far as Fort Hills, that you would consider given the amount of money and you know trucks on order, etc., that have already been committed to some extent? Thanks.
Donald Lindsay: Maybe a clarification on the question. When you say the range of options, do you mean related to phasing of the project, or what...?
Gordon Winter – House and Tattersall: Or, you know, you’re not the operator. What options do you have to participate or not participate if the economics are not to your liking?
Donald Lindsay: Well, we really have to wait and see what the final development model is. And what the numbers are associated with that before we make a decision. But, you know, at this stage, from a benchman mining point of view, we think the market has moved in favor of benchman mining and it’s likely to be a pretty interesting investment opportunity. If we find that ht numbers don’t demonstrate that, then I suppose we can make other decisions related to the investment. But we’d have to see at that time.
Gordon Winter – House and Tattersall: Thanks very much.
Operator: Thank you. The following question is from Hassain Hali of Salman Partners. Please go ahead.
Hassain Hali – Salman Partners: Thanks operator. Just a follow up. Sorry I missed the number that was thrown out not too long ago. We talked about the Fort Hills, and we talked about the 34% of the $2.5 billion you had to spend for the first $2.5 billion. What, how much of that has been spent in total? And what was the budget previously for 2008?
Ron Millos: Okay we spent about $500 million of that. Our share of that first $2.5 is $500 million, or $850 million, and we’ve spent about $500 million to date.
Hassain Hali – Salman Partners: Okay. And how much was budgeted for the full year?
Ron Millos: Our original guidance was about $750 million for this year.
Hassain Hali – Salman Partners: Okay. Perfect. Thank you.
Operator: Thank you. There are no further questions registered at this time. I’d like to turn the meeting back over to Mr. Lindsay.
Donald Lindsay: Okay, well thank you very much all for joining us today. And we’ll look forward to the next one in January. Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. We thank you for your participation.